Operator: Good morning. My name is Lisa and I will be your conference operator today. At this time I would like to welcome everyone to the Great Elm Capital Group, Inc. Third Quarter Results Conference Call. [Operator Instructions]. Thank you, Adam Yates, you may begin your conference.
Adam Yates: Thank you, Lisa. Good morning everyone. Thank you for joining us for Great Elm Capital Group's third quarter 2019 earnings conference call. As a reminder, this webcast is being recorded on Friday, May 10, 2019. If you'd like to be added to our distribution list, you can either email Investor Relations at greatelmcap.com or sign up for alerts directly on our website. This slide presentation accompanying this morning's conference call and webcast can be found on Great Elm Capital Group's website www.greatelmcap.com under events and presentations. The link to the webcast is also available on this section of our website, as well as in the press release that was disseminated to announce the quarterly results. I'd like to call your attention to the customary Safe Harbor Statement regarding forward looking information. Also, please note that nothing in today's call constitutes an offer to sell or a solicitation of offers to purchase our securities. Today's conference call includes forward-looking statements and projections, and we ask that you refer to Great Elm Capital Group's filings with the SEC for important factors that could cause actual results to differ materially from these projections. Great Elm Capital Group does not undertake to update its forward looking statements unless required by law. To obtain copies of the SEC filings, please visit Great Elm Capital Group's website under financial info and select SEC filings. Hosting our call this morning is Peter Reed, Great Elm Capital Group's, Chief Executive Officer. I will now turn the call over to Peter.
Peter Reed: Thank you, Adam. Good morning, everyone. Thank you for joining us today. I'm joined this morning by our President and COO, Adam Kleinman, our interim CFO, Brent Pearson and two senior members of our investment team Adam Yates and John Ehlinger. We will walk through an update on our operating companies, investment management, real estate and general corporate business segments as well as their associated financials. Where relevant in our prepared remarks we will point you to the corresponding slide in the presentation that Adam referenced. Please turn to slide 5, our investment management business has been active since 2016. We made our first real estate investment in March of 2018 and we launched Great Elm DME in September of 2018. This was Great Elm's first full quarter with all three verticals active and we're quite pleased with the results. During the quarter ended March 31, 2019, we reported consolidated revenue and adjusted EBITDA of $14.1 million and $3.9 million, respectively. Please turn to slide 7 to discuss drivers of shareholder value. We have clear objectives in each of our verticals. In operating companies we're focused on acquiring undercapitalized companies with significant growth potential, both organic and through M&A. In investment management, we seek to increase assets under management both in GECC and in our co-investment vehicles. In real estate, we're interested in partnering with owners and lessees to utilize our substantial tax assets. Please turn to slide 8, it is very important for us to maintain long term alignment with you our shareholders. Our team collectively owns over 1.8 million shares or 70% of the company, including our Board of Directors and their funds under management, insiders collectively own greater than 18% of the shares outstanding. We believe this fosters a significant and long term alignment of interest amongst employees, directors, the shareholders. Let's turn to slide 10 for an overview of our operating company activity. Recall in September 2018, we acquired Valley Healthcare Group and Northwest Medical collectively Great Elm DME for approximately $64 million equating to a 4.9 times multiple of LTM pro forma adjusted EBITDA at acquisition. Importantly, since acquisition, we've been very pleased with the growth DME is experiencing, DME generated $11.8 million of revenue and $3.2 million of adjusted EBITDA during what has historically been the business's seasonally slowest quarter. Performance in this quarter was negatively impacted approximately $382,000 due to temporary delays and filling prescriptions related to the integration of Valley Healthcare Group and Northwest Medical. Those issues have since been resolved. Separately, we're encouraged by new patient setups and active rental patients, each exhibiting double digit year over year growth. Please turn to slide 11, growth in particular strong operating growth is a cornerstone of our long term profitability. This past quarter DME experienced double digit growth in referrals, new patient setups and active rentals in PAP and ventilator products. In addition to the growth profile that attracted us to this business, the limited and maintenance CapEx necessary to run the business really helps drive long term profitability. CapEx in the quarter was approximately $2.5 million, $2.1 million of which we described as revenue generating CapEx. The associated revenues from this revenue generating CapEx will be recognized over the upcoming year. We believe that this quarter suggested EBITDA of $3.2 million only reflects a portion of the benefit we anticipate from those immediate CapEx requirements. Turning to slide 12 to discuss our plan for organic growth at DME, DME intends to acquire complimentary patient focused businesses and integrate them into the existing platform. These respiratory focus durable medical equipment industry is fragmented and ripe for consolidation, DME seeks to pursue a hub and spoke expansion strategy that targets tangential and overlapping locations for our existing geographical footprint in Arizona, the Midwest and the Pacific Northwest. We currently have multiple identified acquisition candidates under review and one potential acquisition candidate under LOI. Please turn to slide 13 to walk through the financial update for our DME segment. Total revenue for the quarter was approximately $11.8 million, after deducting approximately $10.9 million in operating expenditure, operating income was reported at a positive $881,000. Adjusted EBITDA for the quarter was approximately $3.2 million at especially to highlight this quarters levered free cash flow generation of roughly $2 million as measured by adjusted EBITDA, less maintenance capital expenditure less interest expense. Please turn to slide 15 to discuss the investment management vertical. We believe investment management is an attractive business for Great Elm due to its scalable business model, high margins and the potential for significant free cash flow generation. In the near term, we plan to grow our investment management business in two ways. First, by issuing additional debt Great Elm Capital Corp, which would increase GECC assets investment management fees for Great Elm. Second, by increasing co-investment assets under management. With significant embedded operating leverage and an established infrastructure we believe the investment management business has the potential to generate substantial free cash flow on a meaningful scale. Turning to slide 16, year-over-year management fees were roughly unchanged. The past two quarters management fees were in part reduced by market volatility in the fourth quarter, temporarily depressing the fair value of certain of our investments at GECC. To-date much of that reduction has reversed and the longer term trend points to management fee growth. On slide 17, we break out the segment financials for investment management. Total revenues, which include both management fees and administration fees were approximately $1.1 million during the quarter. The full circle consulting fee which will no longer be charged post November 3, 2019 deducted $178,000 from revenues in the quarter. GECM earned but did not recognize incentive fees in the amount of $696,000. Adjusted EBITDA was approximately $1 million in the quarter. With no CapEx to report, investment management levered free cash flow came in at $255,000. I'm pleased to report that both our DME and investment management segments reported positive free cash flow during the quarter. Please turn to slide 19 to discuss real estate. We continue to target credit tenant lease financings and ground lease structures across commercial, government and other property types, taking defined situations in which we can use GEC substantial tax assets and deal structuring expertise to be a value added partner or lessor. Let's turn this slide 20. As you see on the chart, assuming no appreciation in the property value, GEC's equity value in the Fort Myers properties will continue to grow between now and the lease expiry in 2030. It's cash flows from the rental stream are utilized to amortize debt, equity grows from one time our investment in acquisition to greater than 7x in 2030 all without deploying any additional capital. Turning to slide 21, let's walk through the segment financials for real estate. During the third quarter we generated approximately $1.3 million in rental income, $38,000 in net income and $1.1 million of EBITDA while not generating levered free cash flow for Great Elm as we discussed on the prior slide we continue to build equity value in this investment through the amortization of debt. On slide 23, we have a review of Great Elm's General Corporate Segment financial detail. This quarter's positive net income and free cash flow we're primarily driven by a settlement associated with the previous sale of unwired patents legacy patent portfolio to Panoptis. That concludes our review of Great Elm's Fiscal Third Quarter. Let's open up the call for Q&A.
Operator: [Operator Instructions]. We have no questions in queue. I will turn the call back over to Mr. Yates for closing remarks.
 :
 :
Adam Yates: Thank you again for joining us this morning to discuss Great Elm Capital Group's third quarter 2019 financial results. We appreciate your support and we look forward to creating long term shareholder value together. Please do not hesitate to reach out to us if we can be helpful with anything in follow up and have a great day.
Operator: This concludes today's conference calls. You may now disconnect.